Operator: ] Thank you for standing-by. And welcome to the StealthGas Q3 2013 Results Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advice you that this conference is being recorded today on Friday the 22nd of November, 2013. I would now like to hand the conference over to your speaker today, Harry Vafias, CEO. Please go ahead
Harry Vafias: Thank you and good morning everyone. Welcome to our conference call and webcast to discuss the results for the third quarter and nine months 2013. I’m Harry Vafias, CEO of StealthGas, and I would like to remind you that we’ll be discussing forward-looking statements in today’s call and presentation. And regarding the Safe Harbor language, I would like you to refer to Slide number 1 of the presentation as well as to our press release in our third quarter results. With me today is Harry Charogiannis, our CFO, and if you need any other information on the call or the presentation, please contact Charogiannis or myself. Before I start with the slides, I would like to comment on the results we released today. As expected during the third quarter, we faced the same seasonal variations that we did during the second quarter. Also we found new charters for some of the vessels that had come off their charters we were left with five of our older ships operating in a seasonally weak summer spot market thus reducing our overall utilization. In addition there were increased cost of the vessels that we will drydock during the summer due to the trading areas and the technical issues that were involved. Let’s start the presentation with Slide number 2. During the last call we got questions regarding the use of the process from our follow on offering I said back then that it would take some time to put the money at work. Today I can say that we have laid the foundation for the expansion of the Company. After having taken delivery of five modern second hand vessels already we now have contracted 15 ecotype LPG ships to be delivered to us over the next 22 months. This will signify a major growth in the fleet of the Company I thought we consider a opportune time. The fundamentals in the LPG industry are favorable and our medium term goal is to grow our already leading position and capture about a quarter of the global pressure as market over the next two years with a fleet of about 55 ships. We believe that the young fleet will give us operational advantages where the current average rate of our fleet is 11 years below of industry average we aim to lower it with the additional vessels that we enter our fleet. We have 15 vessels under construction with remaining CapEx of about $240 million with existing cash and additional debt, we can fund this growth. However, we are continuously looking out for additional orders and reputable shipyards to further expand our fleet. While increasing our leading position in our segment we aim to maintain the conservative chartering strategy that has made this Company so successful in securing a visible revenue stream with a predictable cash flow whenever it’s profitable to do so. At the moment fixed employment for our fleet standard 90% for the remaining of the year, 64% for 2013 and 31% for 2015. In terms of leverage we have always been cautious to maintain moderate leverage and not to over burden the Company. While we grow the Company and add more vessels and debt we will continue to absorb this principle and aim not to exceed a 50% to 55% debt-to-cap a level we consider appropriate for our Company. Now in terms of cost efficiency of our operations I believe we are managing these vessels more efficiently than any public or private competitor and that by growing our fleet we will able to take advantage of additional economies of scale. Our net income breakeven level per vessel per day for the third quarter was $5,982 per vessel per day compared to 5,991 in the same quarter of last year which put us comfortably in the profit making territory. In addition, modern vessels can achieve around 20% savings in operating expenses in that is one of the reasons why we focus on renewing the fleet. Slide 3, as previously mentioned we had enough fire power to grow the fleet significantly over the next three years as we believe the market fundamentals justify a more aggressive growth strategy and that we had been doing the past few years. As a result we had two modern second hand ships in the third quarter and count 42 vessels in our fleet including our oil tankers. By the end of ’14 we will have added four more new buildings growing to 44 vessels and by end of ’15 we will have added another 11 vessels going to 57 vessels. 43 will be LPG vessels. In terms of CapEx that means as of today we’re going to spend about $60 million in 2014, 180 mean in 2015 which makes $240 million in total. The major portion of which will be of course finance buyback that. While we have not seen the large increases in order to book for the small vessels that we have seen in our segments like VLGC, VLGCs for example, we have seen some ordering lately. However, with 15 of these vessels entering our fleet, we have captured close to half the current order book and that means that our market share is bound to grow and our position will strengthen in these market. I will now hang you on to our CFO for some brief comments on the third quarter results, our financial position and later we’ll discuss the markets and industry outlook.
Harry Charogiannis: Thank you, Harry. Good morning, everyone. So, let me continue the presentation with slide number four, the financial highlights for the third quarter and nine months of 2013. With an average of 40.6 vessels owned and operated in the third quarter, compared to 37 last year. Our revenues came in at $29.7 million, lower than last year’s $30.4 million. This decrease was primarily due to the softness of the spot market which coincided with the expiration of employment contracts relating to the older vessels in the fleet. In this environment, those vessels transition period to be higher entailed increased repositioning time and decreased overall utilization which was partly offset by the revenues earned, by the additional of vessels which commenced operation during 2013. Our voyage costs decreased to $2.9 million from $3.5 million due to the lower utilization for vessels in the spot charter in 2013 period. Our operating expenses increased to $9.9 million from $7.7 million last year, this was primarily the result of the increase in the number of vessels operated in the 2013 period, including both of vessels were added to fleet and the two vessels that came off variable charters and which we operated under time charters during the third quarter of 2013. We also had drydocking cost of $1.1 million compared to $0.3 million for the same period of last year. One vessel entered and completed drydock and two more vessels have entered drydocking late during the second quarter, completed the drydocking during the third quarter. In the same period in 2012, only one vessel was drydocked. Interest in finance costs were $1.9 million compared to $2.5 million last year, a reduction due to lower interest rates and lower outstanding loan balances. Our net income for the quarter was $4.1 million compared to $6.6 million last year. Earnings per share for the quarter were $0.13 compared to $0.32. EBITDA was $14.5 million. The share count for Q3 2013 were $32 million; the average weighted share count, while for Q3 2012 was $20.5 million. For the nine months, the same weighted average share count was $27 million for 2013 and $20.5 million for 2012. Including the net income figure is $0.2 million net loss from interest derivative instruments. Interest paid on interest rate swap arrangements amounted $0.7 million or $0.02 share and net gains for changing fair value of the same arrangements amounted $0.5 million. Excluding these items, our adjusted net income for the quarter was $3.7 million or $0.12 per share, compared to $5.8 million or $0.28 per share for the same period last year. For the nine months 2013 period with an average 38.6 vessels owned and operated against 36.8 vessels for the same period of last year, our net income was $15.7 million compared to $21.2 million last year. Voyage revenues were $89.5 million compared to $88.6 million last year. EBITDA was $46.5 million compared to $53.3 million last year. Adjusted net income for the nine-month periods was $13.5 million or $0.50 per share, compared to $17.5 million or $0.85 per share for the same period of last year. Turning to slide number 5, looking at our balance sheet, we can see significant changes from last year, mostly due to the net proceeds received from the follow-on offering in April. As of September 30, we maintained a healthy cash balance of $105 million including restricted cash compared to $51 million at the end of 2012 and that is after having spent $100 million on investments over the past six months for deposits and vessels deliveries. As of September 30, we had $46.3 million in advances for vessels under constructions for 15 vessels delivering by 2015, and $685 million in vessels book values. Our total assets therefore increased from $713 million to $847 million at the end of the quarter. In terms of liabilities, the current portion of our long term debt that is what loan repayments are scheduled over the next 12 months increased to $72.9 million from $35.8 million at the end of last year. The reason behind the increase is somewhat our debt related to 5 vessels matures next year and we have two balance payments of $11 million and $22 million respectively in April and July. Regarding this payments since they involve relatively modern vessels, we have already started negotiations with the banks involved to refinance the vessels. Although we have not concluded any agreements yet, based on the responses we've had so far we're positive that these loans will be extended. The difference between $72.9 million effective $33 million in balance are the regular debt installments we're paying in the tune of $40 million per year or $10 million per quarter. Our long term debt decreased to $282 million mainly due to regular debt repayments and reclassification of the balance from long-term debt to current debt. During the third quarter we added $36.8 million in new loans, repaid $9.3 million in regular debt repayments. As a result as of September 30 2013, our total debt stands at $355 million versus $345 million at the end of last year. We will continue to maintain a moderate leverage over the next couple of years so that by the end of 2014 we expect to have total debt below $370 million and by the end of 2015, we know 15 of our contracted vessels will have been delivered, we expect to have around $460 million of total debt. At the same time our total assets, unless we sell some of the older vessels, in the mean time will surpass the 1 billion mark. Regarding the 15 vessels that we have contracted, I'm pleased to say that we have seen a lot of interest from our existing lenders and new ones to finance them. The levels we envision as 60% to 70% of financing. We have already committed 10 out of the 15 and are making progress in discussions for the remaining ones. We now, please turn to slide number six. These are operating highlights for the third quarter and nine months of 2013 and 2012. In terms of fleet data, our fleet constituted of 42 vessels. We have an average of 40.6 vessels in the third quarter of 2013, due to the delivery of two vessels later during the quarter compared to an average of 37 vessels for the same period of last year. The total numbers of voyage days increased to 3665 from 3388 last year. From those days for the fleet in the third quarter of 2013, 614 were spot market days. So we had a considerable increase in the number of spot days compared to last year's 505 and a decrease from the second quarter's 680. While our spot exposure is not significant at this point we intend to keep it at the same levels or even decrease it gradually and we’ve the latest charters that we have announced, we expect that this number will come down for the fourth quarter. In terms of our operational utilization ratio, our percentages stand at 87% decreased from 95.7% last year. This is mainly due to more drydocking days, off-hire days for the older vessels that we are operating the spot market. In terms of average daily results our average TC rates were 8,817 per day compared to 9,799 per day for the same period of last year. The drop in TC rates was again due to the weaker spot market during the summer time. Our daily operating expenses remained more or less constant at 4,321 per vessel per day compared to 4,122 per vessel per day for the same period last year, having increased by 4.8% and our total vessels, operating expenses were 4,496 per vessel per day compared to 4,411 per vessel per day of last year or a 2% increase that we consider modest and we think the regular annual increases that we would expect. We still operate comfortably above breakeven levels in terms of income and per cash flow. Thank you very much I'll pass it again back to Mr. Vafias.
Harry Vafias: Slide number 7 demonstrates our fleet employment profile and provides you with the earnings visibility of our fleet; in terms of charter types out of a fleet of 42 vessels we have 14 of these on bareboats, 25 on time charters and three in the spot market. With the summer now behind us we have started seeing the markets strengthening and as a result we have fixed some of our oldest vessels that faced some idle time during the summer on time charters, like the Gas Kaizen initially on a six month charter then back-to-back on another charter for one more year. The Gas Crystal our oldest ship that we extended for six months. The Gas Ice the second oldest ship that we also extended for one year, the Gas Arctic that we extended for three months and the Gas Emperor that we charted for one year. This includes the interest for the charting of older ships should be viewed as a positive sign for the 15 modern eco vessels that will be joining our fleet over the next 21 months, modern vessels are in higher demand and can command higher day rates on their older counterparts not only because of their eco features. For 2013, 90% of voyages are fixed 64% for '14, 31% for '15 with the number of charters extended to 2017. We continue to seek opportunities to improve our vessels on medium and long term charters and we'll try to keep the same levels of charter coverage going forward. Our relationship with the world’s largest and most stable energy companies, energy traders and industrial companies of the highest credit divisions minimizes our counterpart risk. This is very positive that we have secured contracted revenues of approximately $183 million. Slide No. 8. This slide illustrates Stealth Gas’s hub and spoke trade model. In the backdrop of a growing export capacity in terminals held by enterprise in Targa, we have seen a concentration of interest on the VLGCs to carry large LPG cargoes on long haul trade. However, this has obscured the fact that there will also be a need for a much bigger fleet of small fully pressurized ships to serve those customers in the regional markets final destinations in the Caribbean, Latin America and the Atlantic Basin. While the U.S. is still developing story, we will believe that our fleet could benefit from increasing product supply especially if the markets at the time are already tight. Slide No. 9. In 2012, 62.4 million tons of LPG was transported by sea and the trade is expected to improve by 24% through 77.3 million tons in 2016. The main key driver behind this steady growth is firstly the growth from emerging countries, especially for domestic use on the increased distance between LPG production, feedstock supplies, and end-users. The initial market users are mainly concentrated in Asia and South America. To give you some examples; 80% of the household users in Mexico uses for cooking and heating. In 2012 consumption reached 23.2 million tons in South America and is expected to increase to 28.8 million tons by 2016 registering an increase of 24%.The total consumption of LPG in Asia is 87.6 million tons in 2012 and is expected to increase to 106 million tons by 2016 representing an increase of 22%. In China alone demand is expected to grow by 31% from 27 million tons to 35.8 million tons. The major driver for this growth is the construction of propane dehydrogenation units, plants to ease the ongoing shortage of propylene in China. The plants use propane to produce propylene. Around 10 PDH plants are expected to start operation within the next four years and could require up to 8 million tons of propane per year as fixed stock. Chinese imports are expected to increase significantly in order to meet the demand generated by these units. As a fixed stock for the petrochemical industry LPG consumption in the Middle East is also expected to sequential double growth and reach 36 million by 2016 from the current 26 million representing an increase of 38%. Slide 10; we consider the Middle East continues to account for more than 50% of the total exports. The major exporters are Qatar, Saudi Arabia, Abu Dhabi and Kuwait. The U.S. is shipping more LPG than ever as a byproduct of the record natural gas output. U.S. market share of global seaborne LPG exports is steadily increasing and forecasted to triple by 2016 to 12.1 million tons, 11% of global total, up from 4.5 million tons in 2011, which was only 4% of the global total. The U.S. LPG exports are primarily going to Mexico, South America and Europe. An increased demand is likely to come from the Far East. Let’s turn to slide 11. The U.S. energy information and administration projects that the U.S. will continue to be a net exporter of LPG through to 2040, mainly because of continuous increases in natural gas and oil production. LPG needs to be shipped due to the limited domestic demand, high storage cost and Kyoto Protocols prohibition of gas flaring. The U.S. LPG prices support exports. The price differential between U.S. propane, the Far East and Europe is approximately 40% to 45% which keeps enquiry for exports rather high. The U.S. exports of propane however is 250,000 barrels per day versus 165,000 barrels per day during the first half of ’13, and only 120,000 barrels per day during 2012. This is a welcome development for us since more supply will be coming in the market and it’s now LPG shipping is a supply driven industry. Slide No. 12. LPG carriers ordering activity has picked up over the past years spurred by the promise of continued trade growth and attracting new building prices. Let’s note that more than 20% of the 3000 to 8000 cubic meter LPG fleet is over 20 years of age, but the order book only stands at 9% with the global demand expected to outpace the increasing global supply in coming years as LPG exports are projected to grow at about 5% a per annum every year until 2016. The combination of a manageable order book and strong demand dynamics should support stable charter rates, and I believe this company is well-positioned to take advantage of these strong fundamentals. The support from our lending institutions allows us to seek further opportunities for growth and we expect to add more vessels in our fleet in the near future. Slide 13. What we can say about the LPG shipping market that we operate in compared to other shipping sectors that has smaller freight volatility few [indiscernible] established companies. Rates did not fluctuate widely and that gives us downside protection while at the same time when the markets are becoming hard we should not expect a rush of new ordering from speculative buyers. I would like to conclude this presentation by saying that we maintained an optimistic view about the core strategy of the company that is investing in more investors to grow and renew the fleet. The industry fundamentals remain positive and depict an increase in LPG trade over the next two years. The interest we have since so far from international lenders to finance the acquisition of these LPG ships lead us to believe that we should have reached agreements for overall 15 new buildings. We are now focusing on concluding these financing arrangements that will enable us to safely allocate more funds for further growing the fleet. It had recently also been our pleasure to show more shipping companies with involvement in our LPG segment successfully entering via the IPO market to our comparables and our benchmarking analysis. Companies with ships in the general LPG segment albeit larger ships such as Dorian and Advanced Gas and of course latest arrival but its currently underway out of Navigator Gas. All of the above portray a significant investor interest in our market underpinned by expectation about its future evolution on U.S. basis and also on a global framework. Therefore being the first one to have entered the U.S. stock market as a pioneer of the LPG shipping sector indeed I would like to welcome our newest public arrivals. We have now reached the end of our presentation. We like to open the floor for your questions. So, operator, please open the floor.
Operator: Thank you. (Operator Instructions) Your first question comes from Urs Dür from Clarkson Capital Markets. Please go ahead.
Urs Dür - Clarkson Capital Markets: Good afternoon guys. I wasn’t able to just adds-up able to find the presentation online so maybe I looked in the wrong place but I got most of it down on paper. But you mentioned if you can just remind us 64% short of coverage for next year?
Harry Vafias: Yes.
Urs Dür - Clarkson Capital Markets: And for 15?
Harry Vafias: 31.
Urs Dür - Clarkson Capital Markets: 31, excellent. Operating expenses, I was estimating a bit too low there and you did point out that you have new ships online. Is there any element of operating expense that you can I mean I know for lack of a better term just sort of indicate a run rate what it’s going to look like in the fourth quarter. Are there new expenses involved or prices going up things like that what’s the outlook there and then operating expenses particularly fourth quarter if you have some idea?
Harry Vafias: As you know we, I think compared to other companies running similar ships especially private companies we have the lowest running cost especially compared to our European comparable companies. No, I mean for the fourth quarter we don’t expect something big. I suggest that when you take our yearly running cost a safe that is to increase these on a per vessel basis by 4% or 5% to be on the safe side obviously into 2016 when we’re going to have other new building ships in the water I guess for those ships you should use slightly lower running cost because brand new ships obviously have less running cost than 10 or 15 year old ships.
Urs Dür - Clarkson Capital Markets: Great, now that’s helpful. And just on dry bulk, drydocking for fourth quarter and next year, what’s the outlook there?
Harry Vafias: We have one, I was trying to calculate. We have one for the fourth quarter and for 2014 we have three or four.
Urs Dür - Clarkson Capital Markets: Okay, excellent. And then the charter rates that you guys were able to achieve it’s great that you extended the charters and it’s great that you have more charter coverage, what’s that charter market look like, is it slightly higher than what you had been able to do, is it in line, is it lower?
Harry Vafias: As I’ve said during the call in the second quarter, when you fix a 22 year ship, 22 year old ship for period the rate doesn’t really matter. I think it’s a fantastic success. But we did fix it because as you know very well all these companies that we referred to do not take ships above 19 years of age for period. So just that we fix so many ships on short to medium term charters for us is a fantastic success.
Urs Dür - Clarkson Capital Markets: No, I agree with that. The age of the shipping getting a charter deserves credit for that. I was just wondering what kind of rate to look at but if you point out. And your point is taken.
Harry Vafias: Is not anyway if I told you the rate it wouldn’t be represent this because obviously rate for the 20 year old ship has nothing to do with the rate for a five year old ship.
Urs Dür - Clarkson Capital Markets: Well, then can you give us a little indication of what the market might look like if you had to open five year old ships right now?
Harry Vafias: Just to make you understand to put to reverse your question if you see 20 or 22 years old ships getting fixed that means that if you had a five year old it would be snapped in a second. There is a shortage of modern vessels for charter and that’s why these charters couldn’t find modern ships and have to take some of our older ships. So we are very happy about that.
Urs Dür - Clarkson Capital Markets: Okay, that’s fair enough indication, that’s all I got. Thank you very much.
Operator: Thank you. Your next question comes from Justin Yagerman from Deutsche Bank. Please go ahead.
Justin Yagerman - Deutsche Bank: While I appreciate that you guys did get the ships chartered and that's a fairly healthy market right now. I think that we kind of need to get an understanding just given the opacity of this market, and that it's harder for us to see the charter activity. A relative idea of where our current charter rate is for these vessels. If were to charter a five year old for a year right what do you think you could achieve in the market place?
Harry Vafias: The average size of our fleet which is 5,000 cubic meters for one year I would say 9,500.
Justin Yagerman - Deutsche Bank: 9,500, and when I think about without giving an exact rate of the 22 year old ships, but I mean a relative discount on that age of the ship. What do you typically expect to see from the marketplace? I mean is it as low as 50% of market or is it somewhere higher than that?
Harry Vafias: I would say 30% to 35%, but as I said these are V-shaped, so it’s only small part of our fleet, thank god. And by fixing them out is not like we're going to make so much money out of them, we won't face the waiting time and idle days that we had faced mainly in the second quarter and a bit in the third quarter.
Justin Yagerman - Deutsche Bank: Understood and certainly it was a thing to get fixed. But I guess it leads me to my next question which is you guy are playing in a market now where you are seeing new entrants coming in with fresh liquidity and shinier ships that are probably going to be out there. How do you think about your fleet, obviously you have got new ships coming on that will take your average age down. But these older ships that will drag on earnings in the quarter; do about getting rid of them and using that capital to help refresh the fleet?
Harry Vafias: Firstly I'll have to slightly disagree; we don't see new ships coming in so just cover that point. The shinier ships that are coming in are our ships, number one. Number two, yes of course we see a decent buyer but once the ships of course we will sell them. But if the ships can't be fixed on period as we just proved why should we scrap the ships and get nothing basically.
Justin Yagerman - Deutsche Bank: Fair enough. And then maybe we could talk a little bit about the S&P market right now. Where is pricing for new builds of you guys were going to go to yards and when are deliveries and then a little bit of color on the second hand market would be helpful.
Harry Vafias: So let's start from the easy part the second hand market. The second hand market is basically non-existent; there is no modern ships for sale. Whatever ships, modern second hand ship came in the market in 2013 we bought it to put it simply. For new buildings with our latest new building acquisitions we have nearly taken away all the 2015 births. So if somebody will as to order I guess we'll to swallow 2016 delivery prices are steady to increasing for an average size ship 5000 CBM Japan only, we would never go to China. Price would be high teens 20 million subject to specifications.
Justin Yagerman - Deutsche Bank: That's helpful and then maybe lastly I think you said that you had initial agreements or I am trying to see commitments on ten of the 15 vessels from a bank debt perspective. What are you seeing in terms or quote from the banks on rate there and when would you expect to be completed on all 15 vessels from a financing standpoint.
Harry Vafias: To put this simply we announced the new buildings a month ago, and two weeks after we had commitment for 10 ships. I don't think any company on a bilateral basis with so many banks has agreed that fast financing, because it’s not syndication, its separate one-to-one ships to banks. So we have done 10, I think we're going to have 15 done by the next 60 to 70 days.
Justin Yagerman - Deutsche Bank: And where are you seeing pricing come in on the debt.
Harry Vafias: The region LIBOR plus 80 to 90.
Justin Yagerman - Deutsche Bank: That's in line. Thanks, I appreciate the time Harry.
Harry Vafias: No worries, my pleasure.
Operator: Thank you. Your next question comes from Chris Snyder from Sidoti and Company. Please go ahead.
Chris Snyder - Sidoti and Company: First question is, I know the order books kind of are still very attractive that has creeped up a bit, it's about 9.2% I think is on the slide. Is that all from your ordering? Or has there been other orders out there as well?
Harry Vafias: Good question, yes the majority is our orders but of course we have not done all the orders worldwide, there has been some orders from other players a couple of Japanese and one Singapore and backed by U.S. investors.
Chris Snyder - Sidoti and Company: It's helpful. My second question is, I know this has been kind of touched on but can you maybe just give us a little clarity on, maybe for the new build vessels that you are going to take, kind of where you see the rates in that market compared to a year ago kind of. If you look at the rates you guys are earning on a year-over-year basis it's not an apples-to-apples comparison, you have had some of these old chips come off contract on market, so if you kind of give us some color there?
Harry Vafias: If we forget the older ships and the summer idle days, I would say that from last year the increase has been 5%.
Chris Snyder - Sidoti and Company: Okay, that's helpful. Thanks again for the time.
Operator: Thank you. We have no further questions from the phone lines, please continue.
Harry Vafias: We have now reached the end of the presentation. We would like to thank you for joining us at our conference call today and for your interest and trust in our company. We look forward to having you with us again at our next conference call for our fourth quarter results in February 2014. Thank you very much.
Operator: Thank you. That does conclude our conference for today. Thank you all for participating, you may disconnect.